Operator: Thank you for standing by. Good day and welcome to the Texas Instruments Q1 2021 Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Dave Pahl. Please go ahead, sir.
Dave Pahl: Good afternoon and thank you for joining our first quarter 2021 earnings conference call. For any of you who missed the release, you can find it on our website at ti.com/ir. This call is being broadcast live over the web and can be accessed through our website. A replay will be available through the web. This call will include forward-looking statements that involve risks and uncertainties and that could cause TI's results to differ materially from management's current expectations. We encourage you to review the notice regarding forward-looking statements contained in the earnings release published today as well as TI's most recent SEC filings for a more complete description. Our Chief Financial Officer, Rafael Lizardi, is with me today, and will provide the following updates. First, I'll start with a quick overview of the quarter; next, I'll provide insight into the first quarter revenue results with more details than usual by end market, including some sequential performance since it's more informative at this time; and then lastly, Rafael will cover the financial results, some insights into onetime items, and our guidance for the second quarter of 2021. Starting with a quick overview of the first quarter. The company’s revenue increased 5% sequentially and 29% year-over-year driven by strong demand in industrial, automotive and personal electronics. On a sequential basis, Analog grew 5% and Embedded Processing grew 7%. On a year-over-year basis, Analog grew 33% and Embedded Processing grew 17%. Our other segment grew 12% from a year ago quarter. Moving on, given the current environment, again this quarter, I’ll provide some insights into our first quarter revenue by end market and then some comments on our lead times. First, the industrial market was up about 20% sequentially and up almost 30% from the year ago. The strength was seen across most sectors. The automotive market was about even compared to a very strong fourth quarter 2020 and up about 25% from a year ago. Compared to the pre-COVID-19 levels the fourth of 2019 our shipments to automotives in both the fourth quarter of 2020 and the first quarter of 2021 were up about 25% as we work to help our automotive customers recover from their supply chain disruptions. Personal electronics was down about 10% sequentially and up about 50% compared to the year ago. The strength was broad based across sectors and customers within personal electronics. Next communications equipment grew in the high teens sequentially, and was about even from the year ago. Enterprise systems grew upper single digit sequentially, and was down about 10% from the year ago. Regarding lead times, over 80% of our products have steady lead times, and more than 50,000 parts have off the shelf availability via ti.com. However, the growing demand in the first quarter of 2021 did expand our list of hotspots, which required extending some lead times. We will continue to add incremental capacity in 2021 and the first half of 2022 with additional support from the start-up of our third 300 millimeter wafer fab, RFAB II that will come online in the second half of 2022. As discussed during our Capital Management Review in February, our competitive advantage of internal manufacturing and technology delivers the benefits of lower costs and greater control of our supply chain, which really shows through a market environment like this. Raphael will now look and review profitability, capital management, and our outlook.
Rafael Lizardi: Thanks, Dave. And good afternoon everyone. First quarter revenue was $4.3 billion up 29% from a year ago. Gross profit in the quarter was $2.8 billion, or 65% of revenue. From a year ago, gross profit margin increased 250 basis points. Operating expenses in the quarter were $811 million, up 2% from a year ago. And about as expected, on a trailing 12-month basis, operating expenses were 21% of revenue. Over the last 12 months, we have invested $1.5 billion in R&D, acquisition charges and non-cash expense were $47 million in the first quarter. Acquisition charges will remain at about this level through the third quarter of 2021 and then go to zero. Operating profit was $1.9 billion in the quarter or 45% of revenue. Operating profit was up 56% from a year ago quarter. Net income in the first quarter was $1.8 billion, or $1.87 per share, which included a $0.02 net benefit that was not in our prior outlook, primarily due to discrete tax benefit, which was partially offset by about $50 million of utility costs related to the February winter storm in Texas. Most of this expense is in our cost of revenue and reported in our other segment results. Let me now comment our capital management results starting with our cash generation. Cash flow from operations was $1.9 billion in the quarter. Capital expenditures were $308 million in the quarter. Free cash flow on a trailing 12-month basis was $6.3 billion. In the quarter we paid $940 million in dividends and repurchase $100 million of our stock. In total, we have returned $4.5 billion in the past 12 months. Over the same period, our dividend represented 56% of free cash flow underscoring its sustainability. Our balance sheet remains strong with $6.7 billion of cash and short term investments at the end of the first quarter. We retire $550 million of debt in the quarter leaving $6.3 billion of total debt with a weighted average coupon of 2.77%. Regarding inventory, TI-inventory dollars were down $65 million from the prior quarter, and dates were 114. For the second quarter, we expect TI-revenue in the range of $4.13 to $4.47 billion and earnings per share to be in the range of $1.68 to $1.92. We continue to expect our annual operating tax rate to be about 14%. In closing, we continue to invest to strengthen our competitive advantages and in making our business stronger. With that, let me turn it back to Dave.
Dave Pahl: Thanks, Rafael. Operator, you can now open the lines for questions in order to provide as many of you as possible the opportunity to ask a question, please limit yourself to a single question after our response we’ll provide you the opportunity for an additional follow up, operator?
Operator: Thank you [Operator Instructions] And first, we'll go to Chris Danley with Citi.
Christopher Danley: Hey, thanks, guys. So Q1 clearly was very strong, well above seasonality and above guidance, however, your sequential guidance is flat is well below seasonality. So my question is, are you guys seeing, cancellations and push outs or why that's such weak guidance after a strong Q1? Thanks.
Rafael Lizardi: Yes, Chris. Yes, thanks for that question. We aren’t seeing cancellation or push outs. I just say that if you look into, to your observations, Q1 was very strong both sequentially, and year-on-year. So, at the midpoint, second quarter will be a strong quarter from a year-on-year standpoint, you have a follow up.
Christopher Danley: Yes, I mean, I guess would just be a follow on to the first question, this would be the lowest sequential guidance you guys have given in some time. So I guess why not? Why not guide for a seasonal or even close seasonal sequential guide?
Dave Pahl: Yes, it really Chris it is the best estimate that we have for our revenue for the quarter. And, again, I would describe it as, following a very strong first quarter. It will, it will be a strong quarter again. So okay, thank you. We'll go to the next caller.
Operator: And next we'll go to Stacy Rasgon with Bernstein Research
Stacy Rasgon: Hi, guys, thanks for taking my question. I want to talk about your inventory strategy. I know you have a strategy to build out inventory for customer service. I guess how do I reconcile that that with the fact that your inventory dollars are down, and you're still getting some pockets of lead time of extended weakens? Is that just a function of demand of the poles is just so strong you can't keep up? And I guess in that light, how do you parse the quality of those orders that you're getting? How do you know? Are you just having to just shipping whatever is being asked for at this point? And I guess, like what are the plans for loadings and inventories as we go into Q2, you're going to try to replenish the inventory that's been drained?
Rafael Lizardi: Now, so thanks for your question, Stacy. So first, let me step back and remind everyone inventory our objective there is to maintain high levels of customer service minimize, while we minimize obsolescence and improve manufacturing realization. And as you alluded in the question, we would prefer to have higher levels of inventory. In fact, what 60 days ago a day capital management strategy, we increased the target for inventory to 130 to 190 days up from 115, 145. Prior to that, so yes, we'd like to have more inventory. But in the current environment, we're focusing our capacity on fulfilling demand, not on building inventory, whenever things slowdown, which at some point that will, or and or as we increase capacity, which we are increasing capacity incrementally, we have them will continue to their to the balance of this year into the first half of next year. And then in the second half of next year, we will have a first output from our RFAB II as those things come together, then we will be able to build more inventory. I know you had a couple other parts of that question. But why don't you use your follow up for that if I missed something?
Stacy Rasgon: Okay, I'll use the follow up. So how are you parsing the quality of the orders that you're getting? Are you just skipping whatever is being ordered at this point?
Rafael Lizardi: Yes, and I'm glad you I'm glad you chose that one as a follow up. I'll just highlight, as you know, we have moved away from distributors over the last couple years, really, it's been more of a 10 year process. But in the last few years, more, we pulled the trigger and actually no longer ship into too many distributors that we used to. And now we're going direct with, with a lot of our customers. To the point where, we exited last year with almost two thirds of our revenue, shipping direct, that has put us in a great position, particularly in the current environment. Because we have, we now have more direct access to those customers who have a better understanding of what they really need. We have, we don't have that intermediary in between frankly, clouding things up. As frankly as the way it happened a lot with the distributor. So, so then we use that information to better allocate our resources, both inventory, manufacturing, etcetera, in order to fulfill demand from our customers.
Dave Pahl: That's great. Thank you, Stacy. Now we’ll go to the next caller, please.
Operator: And our next question will come from John Pitzer with Credit Suisse.
John Pitzer: Yes, good afternoon, guys. I think somebody asked the question, not original but a follow up to the June revenue guide. I'm just curious Rafael; you said did you would be growing supply sequentially from March to June. So the implication is, you might be able to build some inventory in your own balance sheet. I'm just curious, given how lean inventories are across the channel. Why would you wouldn't expect incremental supply that you bring on, not to be used by your customers and actually show sequential revenue growth?
Rafael Lizardi: I think you're getting a little new ones in that question and picking some of the things I said. Just I would you, we drain inventory fourth to first, right? So even if we're increasing output, that doesn't necessarily mean that we'll be able to build inventory. What I said earlier, you shouldn't take that as a statement that we're going to build inventory going into second quarter.
Rafael Lizardi: And I would add that we're going to add incremental inventory or incremental capacity through the balance of this year, and through the first half of this next year, until RFAB II comes on, which would be in the second half of 2022. So, you've got multiple pieces that are moving there. You have a follow on, John?
John Pitzer: Yes. Just it was nice to see in the March quarter embedded at least sequentially, growing faster than analog. And we've talked about this in the past, Dave, about kind of the growth there is kind of lag that of analog, do you feel like within the embedded market, you're turning the corner on it? Can you help us kind of understand how you guys see the design funnel there? And what the growth rate in that market might be beyond kind of the cyclical recovery?
Rafael Lizardi: Yes, I'll give you a few comments on that. And, Dave, you want to follow up. But high level, we're pleased with the trajectory of embedded. We're still -- however, we're still in very early phases, right? As we have said before, our goal with embedded was first to stabilize embedded, make some changes that we have made and then leverage our competitive advantages that we have to -- have embedded headed in a better direction. And we're in the early phases, but we're pleased with those early results.
John Pitzer: Great. Thank you.
Dave Pahl: Thank you, John. And we'll go to the next caller, please.
Operator: Moving on, we'll go to Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Dave, thanks for the color on lead times. I guess, in the hotspots, maybe 20% or so that's been impacted? Can you just give a sense of what you're seeing there? And maybe your sense of when you would expect that the lead times in certain areas has to normalize?
Dave Pahl: Yes. There's just a lot of moving pieces on that to correct that. I think it's probably premature to try to pick that. Our teams are obviously working very hard with customers to close those demand and fulfill those needs. So it really just based on technologies and packages and what those customer requirements are. You have a follow on?
Craig Hettenbach: Sure. Thanks. And then, personal electronics, up 50%. Year-over-year, I know there's been some nice tailwinds from work from home. Any more color in terms of some of the segments that you're seeing growth? And how you feel about that business for Q2?
Dave Pahl: Yes. So at a high level, what I'd say, we'll give color by end market, if there's something unusual going on. When we look out into a quarter, I can say that there's nothing unusual that we feel the need to call out. When we look back into first quarter, and really in the past few quarters in personal electronics, the demand that we've seen there has been very broad based, both by customer, really across the board that we've seen, as well as by sector. So -- and just as a reminder, in spite of personal electronics, we'll have things like handsets and tablets and personal computers, including laptops, televisions, smart speakers, those types of things. So it's a pretty broad category -- printers. So it's pretty broad categories. I think there is nine, ten different sectors that make up personal electronics. So -- and we've seen very strong demand across -- really across all of those.
Rafael Lizardi: Yes. This is Rafael. I just want to go back to the question lead times. Earlier, several people asked about inventory. At the end of the day, things are going to be tied as long as demand is ahead of supply, things are going to be tied, lead times are going to be tied. But the key point here is we own our own manufacturing and technology, right? That is a key differentiator versus our competitors. It is one of our competitive advantages. So we are in a strategically -- in a unique strategic position to be able to have that control that inventory, be able to add to that capacity incrementally for the next year and a half or so. But then more significantly after that when RFAB II is built, and it starts to get equipped. So that's a big difference versus our competitors. It really puts us in a much better position to fulfill customer's demand, both short term and more importantly, over the long haul, as we continue to focus on industrial automotive, all those customers that are in those great spaces.
Dave Pahl: Good color. Yes. Thank you. Okay. We'll go to the next caller. Please.
Operator: Thank you. And that will come from Harlan Sur with JPMorgan.
Harlan Sur: Good afternoon, Thanks for answering my question. On the extended lead times maybe a different way to ask the question. You also asked about 20% of your wafer requirements, most of it is embedded and you outsource, 40% of your test and assembly. I'm just wondering if this is where you're seeing maybe more of the extended lead times just given the capacity as tight as your outsourced partners? Or is it across both internal and outsourced manufacturers?
Dave Pahl: Yes. It's not specifically there, Harlan. It really is more just based on technology or end market driven or package types. So, we've described it as hotspots. So it's kind of a combination of those things when we've got demand that is outstripping the short term supply. But back to Rafael's point. The fact that we do the majority of that assembly test in-house, most of our peers don't do that. Most of our peers have that assembly outside. So even that 60%, 70% is a very large number that we control and do in-house. Also, because we do 80% of our wafers in-house, we can expand that capacity incrementally. Also, we control the cost to a much higher degrees than our peers as well. And those are very important things in times like these. So it’s a tremendous advantage. On top of the fact that 300 millimeter, we're adding capacity. So it's coming in at structurally lower cost in addition to it. So, you have a follow on.
Harlan Sur: Yes. No. Thanks for the insights there. So good again to see the year-over-year momentum in the embedded business. And I know somebody tried to ask a question about this previously, but wondering if you could just -- I know you guys refocus some of the sub segments within embedded last year. Just wondering if you guys could give us a profile of embedded relative to the overall corporate profile? I mean, does it have the same end market exposure as the overall business? Or is it more skewed now towards one or particular end markets? And on a go forward basis like what end markets within embedded are you spending more R&D dollars?
Dave Pahl: Yes. So, I think that -- what the investments that we have in embedded, we have directed at the best growth opportunities. So, as we took a step back, we wanted to focus them into that direction. They are bias towards industrial and the automotive markets. The largest portion of our revenue are pointed in those two markets as well. We do have a little bit of revenue in communications enterprise and PE [ph] inside of that, but the majority of the revenue is in those two markets. So, again, as Rafael said, we're in the early stages. Our first objective was to get the revenue stabilized. So, we feel very good about the progress that we've made so far. And we're making the investments there because we believe embedded will be a great contributor to free cash flow growth over the long term. So, we believe that several years from now we'll look back and we'll be very pleased with the investments that we've made. We'll be very pleased with the free cash flow growth that embedded will have contributed to the company. So, okay. Thank you, Harlan. We'll go to the next caller, please.
Operator: Thank you. And that will come from Ambrish Srivastava with Bank of Montreal.
Ambrish Srivastava: Hi. Thank you very much. Just a question on the order patterns that you're seeing guys. Many of your peers have talked about no cancellations policies, facets of the business we haven't seen in -- and you could say never. But are you think that that customers are looking for commitments to capacity, and then as a result, you're having to change your clauses with the customers in terms of cancellation policy, or what have you. Are there any changes on that front?
Dave Pahl: Yes. So, we don't think that that's a good idea to go down that path to force customers to tell us what they need a year from now. I don't -- you can demand that they tell you what they need in April or May of 2022. But I can assure you, they don't know what they need a year from now. We really want to be in a position where we can supply them what they need, and be a supplier that they can count on as well. Our competitive advantage of manufacturing technology and owning controlling that our manufacturing asset also gives us control of our costs there. So we haven't been in a position where we've had to go in and raise prices as many of our other peers have. So -- and we believe that those two things combined are translating into share gains, right? So, when you look at the revenues in this quarter, we believe part of that is share gains. And I'll quickly also point out that. You got to measure that over time. So don't look at or measure it over just one quarter. But we do believe that will be something that will benefit us for a very long time to come. You have follow on, Ambrish?
Ambrish Srivastava: Yes, I do. Just quickly on the capacity and CapEx. So, intensity, we shouldn't be modeling a different intensity over the next few quarters, correct? We should be within the guidance range that you've given as you build the third Fab? And then, is that second half 2022 a pull in versus what you were expecting?
Rafael Lizardi: No, it's not a pull in. That's about where we've always expected. But now let me answer the first part of your question. As you as you know very well, you've been following us for a while. We talked about our guide for CapEx as percent of revenue at about 6%. We did that at the capital management strategy meeting. And that is -- that's a valid number over the long term. And it's just a model to help you think about our CapEx. But the reality is that in the short term for two, three years, we're going to run higher than that in absolute terms, and also the percent of revenue as we continue to invest both short term to get ahead of the current situation, but more importantly, longer term as we continue to strengthen our competitive advantage of having our own manufacturing technology, particularly 300 millimeter that as we talked about, provides such a great structural cost advantage in controlling our own manufacturing supply they've been is that early during this pandemic, and cycle has proven worthwhile.
Dave Pahl: Okay, Thank you, Ambrish. And we'll go to the next caller, please.
Operator: Thank you. And that question will come from Timothy Arcuri with UBS.
Timothy Arcuri: Thanks a lot. Dave, I just -- I also wanted to ask about the guidance. I know there's some school of thought that because you control your supply chain, and that your model and inventory would sort of drive some share gains and some more upside given what's going on. And I know that you're typically conservative, and you have a very tough comp on Q1. But I wonder if maybe customers are not pulling your product because of shortages elsewhere? Because it just is, sitting there in consignment anyway, waiting for them? And I guess the question is, are you hearing that from any of your customers that they're not pulling due to shortages elsewhere? And maybe that's contributing somewhat to your June guidance?
Rafael Lizardi: Tim, we think that that probably goes on at any point. Though, we don't believe that that's going on at any significant level. So yes, we don't believe that that's a significant factor that's going on in second quarter. You have follow on?
Timothy Arcuri: Yes. I do. So I guess last, the same thing that I asked last quarter about the share repo. And I know that you guys always say that free cash flow only matters if it's returned. But you didn't buy back much again this quarter. It's like $130 million over the past nine months. And it's sort of seems like maybe a bit of a pattern now that it's three quarters in a row? So, and I know you have a pretty strong in trinsic value model for your stock. So can you just talk about that? Thanks.
Rafael Lizardi: Yes, sure. No, thanks. First, stepping back, as you alluded to our goal, our objective is to return all free cash flow to the owners of the company over the long term. And if you look at our 15, 16 year history on that front, we have been returning all free cash flow and then some to the owners of the company. And we're going to continue doing that over time. Now over time -- over the long term. That means --that doesn't necessarily mean every quarter, certainly not every quarter, maybe not even every year, right? But over the long term, we're going to return all free cash flow to the owners of the company. We do that through both dividends and buybacks. And there are different criteria that we look at for each of those, and we've talked about that.
Dave Pahl: Okay. We've got time for one more caller.
Operator: Thank you. And that question will come from Tore Svanberg with Stifel.
Tore Svanberg: Yes. Thank you, and congratulations on the record revenues and earnings. First question. Dave or Rafael, could you just step back just looking at the last 90 days, what is it exactly that changed this last quarter? Did orders continue to accelerate? Does the capacity situation ease? Maybe just walk through exactly what changed?
Rafael Lizardi: I'll give you a few comments. Not sure if I have -- perhaps what you're looking for. But demand continues to be strong. We're still in a environment where demand exceeds supply capacity. Now, of course, our revenue has continued growing in that environment, and both year-on-year clearly, but also sequentially, right? And we are incrementally adding capacity while we do that. We're also in the -- while we have done that we have over this entire cycle, we have focused on making the company stronger, right? So we have back, if you look at the first phase of this pandemic, back in February or March, when everybody was pulling back, we built through that cycle. So that was a tactical decision enabled by our strategic position of our focus on industrial automotive, on catalog part with low risk, obsolescence, so we're able to build through that cycle. And be prepared for the other side, once demand started returning pretty quickly as it turned out. We also -- as we did that we also gain a strategic ground, focusing on auto and industrial. So you've seen how we have grown in those phases. And while we have done that we have invested for the long term. And that's invested in competitive advantages, the most obvious one is manufacturing technology. We already talked about that here. But there's also our product portfolio, right? We continue to strengthen the R&D in the best basis. And then the other one is free to have channels, which we really haven't talked about today much. But we continue to strengthen that and may be the most obvious one is the other comp, and everything we're doing there to support our customers with very, very high availability, in fact, immediate availability in a lot of cases with many parts, that's inventory there for customers to buy direct from us on the other comp.
Dave Pahl: You have a follow on, Tore?
Tore Svanberg: Yes. Thank you. So your operating margin, I think was just very shy of a record 45.2%. Rafael, in the past, you've talked about OpEx kind of being between 20% and 30% of revenue. Now that -- it's pretty obvious that there's so much demand out there and that it's sustainable. Is it safe to say that OpEx ratio is going to change going forward and maybe stay at 20% to 25%?
Rafael Lizardi: Yes. So what I will tell you on that is in the short term, we run OpEx on a trailing 12 month basis at about $3.2 billion. That's not going to change much in the short term, right? Because it doesn't need to. Right? We feel very good about those investments, we feel very good about where they're going. They're long term in nature. Clearly in R&D, but also, part of SG&A is, is, the telecom example, that's, we think of as an investment, of course, even those it’s in SG&A. So we I don't see that number, in the short term changing much, but over the long term, over many years, the guidance that we have given you of 20% to 25% still apply. So, so you should still think of it in those terms.
Rafael Lizardi: Okay, so I think that was the last one. So let me go ahead and wrap up by reiterating what we have said previously, that our core were engineers and technology is the foundation of our company. But ultimately, our objective and best metric to measure progress and generate long term value for owners is the growth of free cash flow per share. While we strive to achieve our objective, we will continue to pursue our three ambitions; we will act like owners who will own the company for decades, we will adapt and succeed in a world that's ever changing. And we will be a company that we're personally proud to be a part of and would want us our neighbour. And we're successful. Our employees, customers, communities and owners all benefit. Thank you and have a good evening.
Operator: Thank you. And that does conclude today's conference. We'd like to thank everyone for their participation. You may now disconnect.